Operator: Welcome to the Ultralife Second Quarter Earnings Call. And now for opening remarks and introductions, I'd like to turn the call over to Ms. Jody Burfening. Please go ahead. 
Jody Burfening: Thank you, Trica. Thank you and good morning, everyone. This is Jody Burfening of Lippert/Heilshorn & Associates. Thank you for joining us this morning for Ultralife Corporation's earnings conference call for the second quarter of fiscal 2012.
 With us on today's call are Mike Popielec, Ultralife's President and CEO; and Phil Fain, Ultralife's Chief Financial Officer. The earnings press release was issued earlier this morning and if anyone has not yet received a copy, I invite you to visit the company's website at www.ultralifecorp.com, where you will find the release under Investor News in the Investor Relations section.
 Before turning the call over to management, I would like to remind everyone that some statements made during this conference call contains forward-looking statements based on current expectations. Actual results could differ materially from those projected as a result of various risks and uncertainties. These include uncertain global economic conditions, increased competitive environment, pricing pressures, and disruptions related to restructuring actions and delays.
 The company cautions investors not to place undue reliance on forward-looking statements, which reflect the company's analysis only as of today's date. The company undertakes no obligation to publicly update forward-looking statements to reflect subsequent events or circumstances. Further information on these factors and other factors that could cause Ultralife's financial results is included in Ultralife's filings with the Securities and Exchange Commission, including the latest Annual Report on Form 10-K.
 In addition on today's call, management will refer to certain non-GAAP financial measures that management considers to be useful metrics that differ from GAAP. These non-GAAP measures should be considered as supplemental to corresponding GAAP figures.
 With that, I would now like to turn the call over to Mike. Good morning, Mike. 
Michael D. Popielec: Good morning, Jody, and thank you, everyone for joining the call this morning. Today I will start by making some high-level observations about our second quarter 2012 operating performance, then I will turn the call over to Phil, who will take you through the detailed financial results for the quarter. After Phil has finished, I'll provide a progress report on each our top 2012 priorities, as well as our thoughts on the full year financial outlook for 2012, before opening it up for questions. In the second quarter of 2012, we had expected continued soft Battery & Energy Products demand and knew we were up again some difficult year-over-year comparisons.
 However, several Communications Systems transactions that were delayed into Q3 caused Q2 revenue to fell well below our internal forecast leading to a disappointing result. For Battery & Energy Products, in view of a challenging revenue comparison where we knew approximately $9 million of Q2 2011 revenue, we would not recur this year and have not been offset with new business. We aggressively addressed our manufacturing variances despite lower volume and achieved a 460 basis points improvement in gross margin from Q1 to 24.2%, while total company annualized COGS cost reduction year-to-date are approximately $3.5 million.
 With respect to Comms Systems gross margin in Q2, our lower volume in the unit shift, unfavorable mix and a key customer concession to modified product shift in prior years, resulted in the lower gross margins reported. As an update on key contract awards, in the second quarter, we've received an IDIQ Award from DLA for chargers and radio power supplies that could be worth up to $9 million over the next 5 years with the potential for just under $1 million to be shipped in 2012 and very early in Q3 Comms System successfully negotiated a small SATCOM Award valued at just over $3 million that will ship in 2012.
 Given the anticipated revenue pressure due to uncertainty and government defense spending, we continued our rightsizing of the business operating infrastructure and our cost control efforts, where we've had to make some very tough calls on some very good people and a reduced salary and head count by almost 35% year-to-date.
 These reductions contributed to a 13% lower quarterly operating expense run rate and an annualized savings of approximately $4 million. Also now that many of our new products are in the customer demo and testing phase and the majority of detailed new product development design work is behind us, we've throttled back spending levels by approximately 7%, but will nevertheless continue the funding on new product development and other multigenerational products plans, such that we maintain a healthy pipeline of new product flow.
 And lastly, and though we don't talk about it much, I'm pleased to say that our teams have been very focused on cash management and to their credit, despite a tough Q2, we ended the quarter with zero long-term debt and positive cash on hand of $4.2 million.
 So in summary, despite the current revenue challenges, our lean driven manufacturing productivity gains, operating expense control and cash managed discipline position us well to press on through the present difficult environment and provide us the opportunity for nice operating leverage as we return the total company to top line revenue growth.
 In a few minutes, I will take you through where we stand on each of our top 3 priorities for 2012. But first I would like to ask Ultralife's CFO, Phil Fain, take you through some additional details of our second quarter 2012 financial results. Phil? 
Philip A. Fain: Thank you, Mike, and good morning, everyone. Earlier this morning, we released our second quarter results for the period ended July 1, 2012. As a remainder, I will provide you revenue, gross profit, operating expenses and operating results from continuing operations for the 2012 second quarter compared to the 2011 second quarter. Discontinued operations contained the results of RedBlack Communications. 2011 discontinued operations also contained the results for the Energy Services business, which we exited in the second quarter last year.
 Consolidated revenues for the second quarter totaled $18.7 million a 57% decline from the $43.1 million, we recorded for the second quarter of 2011. Revenues from our Battery & Energy Products segment were $15.5 million a decrease of $15.7 million or 50% from last year. $8.6 million of this variance is due to business that did not recur and consists of $4.6 million related to shipments to the DLA last year, under the IDIQ contract awarded in September 2010 and $4 million related to the completion of the non-U.S. portion of a telematics battery contract in the second quarter of 2011. The remaining $7.1 million decrease is primarily attributable to a slower government and defense order rate for a rechargeable and non-rechargeable batteries and charger systems.
 Communications Systems sales of $3.2 million decreased by $8.7 million or a 73% from the prior year. $7.5 million of SATCOM shipments last year accounts for most of the year-over-year comparison. In addition, Communications Systems sales declined because of lower shipments of 20-watt amplifiers reflecting timing differences in orders for large international funded projects.
 Our consolidated gross profit was $4.5 million compared to $11.6 million for the second quarter of 2011. As a percentage of total revenues, consolidated gross margin was 23.9% versus 26.8% for last year's second quarter, a decrease of 290 basis points. Gross margin for our Battery & Energy Products segment was 24.2% a 100 basis point improvement over the 23.2% recorded last year and a 460 basis points sequential improvement over the 19.6% recorded in the first quarter.
 During the second quarter of 2012, we reduced the manufacturing variances experienced in our Newark operation in the first quarter by over $1.1 million and the actions in refinements we took in our operations to reduce scrap and right-size labor and align production levels with demand eliminated those variances all together in June.
 For our Communications Systems segment gross margin was 22.1% compared to 36.3% last year. The decline was a result of 2 factors; the first being sales mix, which included a much higher concentration of radio accessory products and the sale of some legacy products in the current period versus higher volumes of amplifiers and SATCOM units in the second quarter of 2011.
 The second factor being the recording of a reserve to rework and upgrade McDowell products requested by a strategically important customer, for products it purchased in 2008. The latter accounted for almost 800 basis points or more than half of the overall decline in gross margin. Operating expenses totaled $7.4 million a reduction of $1.1 million or a 13% from the $8.5 million for the 2011 period.
 The overall decrease from 2011 was a result of ongoing reductions in force general and administrative spending cuts, lower sales commissions and more focused R&D and new product spending. Operating expenses for the second quarter included almost $300,000 relating to severance.
 As a percentage of revenue operating expenses represented 39.6% compared to 19.8% a year ago. Second quarter non-cash operating expenses including depreciation, intangible asset amortization, and stock compensation expenses amounted to $1.3 million the same as the year earlier period. And adjusted EBITDA defined as EBITDA including non-cash stock-based compensation expense amounted to negative $1.6 million versus positive $4.4 million for the second quarter of 2011.
 We incurred an operating loss of $2.9 million compared to an operating profit of $3.0 million for the same period in 2011. The 2012 loss was driven by the lower sales as I described earlier. Other expenses primarily comprised of foreign currency translation and interest expense amounted to $133,000 compared to $170,000 for the year earlier period.
 The year-over-year decrease resulted from lower interest expense as the outstanding revolver was substantially reduced in 2012. Our second quarter tax provision of $0.2 million primarily reflects income taxes for our profitable China operation.
 Net loss from continuing operations was $3.2 million, or $0.18 per share, compared to net income of $2.8 million, or $0.16 per share for the same period last year. The company's liquidity remain solid with cash of $4.2 million, an outstanding revolver draw of $357,000, net cash of $3.8 million and a current ratio of 3.0. By comparison, the outstanding balance on our revolver at the end of the second quarter of 2011 was $3.7 million. Net cash was $0.3 million and the current ratio was 2.3.
 At present, the outstanding draw on our revolver is 0. While there is no doubt that we are disappointed with our second quarter results. The actions we have taken to the further streamline our manufacturing variances enhance our flexibility to meet demand across our market portfolio and increase inventory turns, while maintaining tight cost controls should help drive our return to profitability in the second half.
 We continue our attention on relentless execution of our top priorities. We believe that the improvements recently made and those to follow will generate strong incremental returns and revenue growth, and it will allow us to make progress towards achieving our interim goal of a 10% operating margin.
 I'll now turn it back to Mike. 
Michael D. Popielec: Thanks, Phil. Restating once again, our top 3 priorities for 2012 are, one, optimizing the company's profitability; two, excluding our growth gain plan; and three, leveraging our China operations for global growth and improved cost competitiveness. To improve our profitability over the last 1.5 years, we have taken an outside in approach by making adjustments to our portfolio such as the exit of energy services, RedBlack, and some legacy product lines, as well as an inside out approach, where we immediately launch the company-wide lean implementation and established our 35-510-10 [ph] businesses model.
 The numbers making up that business model essentially say that if we achieved 30% gross margins and spend 5% of revenue on new product development in R&D and 5% on selling expense with 10% on all other G&A expenses. We will achieve a 10% operating margin, our initial O&M goal.
 As stated earlier, our recent activities have been focused on realizing our standard gross margin target by adjusting our manufacturing infrastructures to current revenue realities, which have shown progress to-date at Battery & Energy Products.
 The gross margin improvement activities with the mindful eye to sales and operations planning for better inventory efficiency are becoming an integral part of our weekly business operating rhythm. While we are pleased with a quarter-to-quarter sequential improvement in Q2 gross margin at Battery & Energy Products, we were disappointed with the gross margins at Comms Systems and have put in place mechanisms drive gross margin improvement in both businesses through the remainder of the year.
 It should also be noted that we recently brought on board a seasoned business pattern in the newly created role of Vice President of Finance for Communications Systems. He will not only have financial controllership and SP&A responsibilities, but he will also have significant multifunctional operational experience that will better focus our margin improvement efforts and enable the executives and sales leadership to spend more time working with customers to help drive our revenue realization goals.
 Regarding our new product development and selling expense allocations, as stated earlier, we are starting to trim back on some of the R&D expenses as new products are completed. We will also show some reduction in selling expenses as we pass through a skill set and performance driven initial round of sales people churn, however any reduction here should be viewed as temporary, as we still need to achieve a net increase in the number of feet on the street to fully serve our customers' application needs and achieve our revenue growth expectations.
 Turning to an update on the priority of executing our growth gain plan, I'm pleased to announce that after a 6 month search we hired in June another proven business executive with an expertise in creating sales force excellence to serve as the corporate Executive Vice President of Global Sales reporting directly to me. It has become clear to me as we were driving the cultural transformation from essentially being a contract manufacturer to the U.S. government defense industry to an agile new product innovation driven company including new product type [ph] development execution, prototype to production manufacturing transition and go to market capabilities focused on both commercial, as well as government defense market segments, that we had some key experience and skill set gaps.
 In another lesson learned, I view that our present year results have been challenged by the transition of some of our strongest rainmakers from individual contributors to sales leaders something that I had implemented as we had added feet on the street. I look forward to the time validated sales force productivity improvement processes and discipline that the new Executive Vice President of Global Sales will bring, as well as to getting our key rainmakers and industry experts back to playing offense by being out meeting with our customers.
 In another action recently taken, we've engaged an outside firm with expertise in accelerating new product innovation impact to the revenue stream to help us more efficiently target our new product value proportions to the most attractive and receptive end user customers. The initial deep dive activities are well underway in conjunction with our annual strategic planning cycle, which we typically complete by the fall.
 Looking at the status for new products, in the first half of 2012, we completed 7 full site demonstrations of the patent pending Ultralife GenSet Eliminator at locations in the United States, Europe and Asia. For the second half, we have an equal number of demonstrations scheduled with a heavy focus on international and U.S. military applications, and including the U.S. military Network Integration Evaluation 13.1 at Fort Bliss, Texas in October and November of this year.
 From our customer demos, we have learned that they like the GSCs selling operation capability and no heat signature. The reduction in fuel and maintenance required of the couple generators, the renewable source integration possibilities particularly with solar. And that it provides usage monitoring and recording that will facilitate smarter energy consumption and remote location applications.
 In terms of the specific status of the GSC in the U.S. military's process, we are currently pursuing the formal Safety Assessment Report or SAR that's to be completed in conjunction with the SAR DAC and the safety, excuse me, it's completing conjunction with SAR DAC and the safety release from the army testing and evaluation command at the Aberdeen Proving Grounds by mid-September. After these tests and reports are approved, units can officially be used by our soldiers which is a key milestone positively impacting our ability to get orders from the U.S. military as they can then procure and deploy as desired.
 In parallel to the GS activities in the United States, we also have several pending order opportunities for small initial quantity purchases this year at various sites in Europe, South America and the Far East. In each case, the likely sequence of events would be small quantity purchases and final customer evaluations followed by minor spec adjustments than larger quantity purchases.
 Regarding the GSC product variation, which we call the man-portable power system or MPPS, which consists of ruggedized single man portable gear and the Multi-Kilowatt Module or MKM, which is a large format rechargeable battery. We are in advanced discussion stages with customers in Europe and the Middle East for initial orders. Some of the projects are for the military applications, while others are for commercial applications in conjunction with generator OEMs.
 And again in a process similar to what we are seeing with the GSC, demos are expected to be followed by small quantity initial purchases for customer validation then if they like what they experience, they tell us that opportunities for dozens or hundreds could follow. Since this is a lengthy process and now that we have a pretty good handle on what the final specifications are to include, we are increasing the build plan for demo units for the GSC, MPPS and MKM products. This will enable us to be more responsive to the growing list of interested parties looking for demo units and also allow us to reduce cycle times for orders fulfillment, as people firm up their actual purchase needs.
 Strategically, the GSC, MPPS and MKM new products are an important component of our organic growth plan and our gestation cycle remains on track. While we are very encouraged by the breadth and depth of interest we have received, given along the sales and procurement cycles of both our military and commercial customers for both -- for brand new products such as these and our desire to get it right the first time without any false starts. We do expect that we would be into 2013 before we see any order quantities that would materially impact our revenue stream.
 Looking at our recently introduced new half-size 5390 primary battery, which delivers similar energy as the currently used products yet with one-half the size and weight we have successfully completed both UN and SAR testing and are receiving initial small quantity orders from the military. We also expect that the half-size rechargeable 2590 battery, UN and SAR testing be completed sometime in August. And as a side note, the half-size 5390 battery, the new full-size 5390 battery, and half-size 2590 battery will all be used in the upcoming NIE giving them broad exposure to potential end users.
 With a thin to body conformal battery, we have a prototype hard version, which will be built in UN and SAR test for [indiscernible] contract December 2012 and be ready for volume sales in January 2013. Significant interest in this product has been seen from United States, United Kingdom and Australian militaries. A flexible version will be under consideration next.
 As an update to our 3 new communications system product development efforts, which are focused on vehicle and man-portable systems and equipment, supporting multiple radio configurations, we have shipped demo units of our new Lightweight Portable Amplification System or LPAS, to 2 different international customers.
 As you may recall, the LPAS system utilizes our very successful A-320 amplifier and an integrated, excuse me, an integrated rechargeable power supply, which allows for either dismounted or vehicle operations using AC/DC or battery power and will support over a 11 different radio configurations. Contracts for higher volume purchases will follow customer testing and are expected in late 2012, with shipments to start in 2013 take place over several years.
 Regarding a new Handheld Vehicle Adapter or HVA, which enables the operator to use the same radio in the vehicle or during the dismounted operations for commercial or military vehicle and while supporting over 16 different radio configurations. We have brought in specific project interest in the new product from Asia, the Middle East and the Americas primarily in the Special Operations Forces. Initial orders and shipments are expected in 2013.
 And lastly, our new Satellite Radio Combiner product, which enables simultaneous transmission reception of any 2 military UHF satellite radio channels is already in production with initial customers small quantity testing expected in Q3 with firm orders to follow later in 2012 and into 2013.
 In summary, regarding our new product development efforts, in each case, we are progressing through the necessary yet slow customer tuck-in qualification and procurement processes. And at the same time, we have been very pleased with the reception of the new products and a small number of design setbacks along the way.
 We are confident in our new product development direction and with a new Executive Vice President of Sales assertively upgrading our sales processes and talent, an outside company expert helping us better target our new products and fine tune our value propositions and deliberately getting our executives out more talking to customers, we feel, we have the right pieces coming together to achieve our mid and long-term organic growth objectives.
 As we look at our last 2012 priority and that is to leverage our China operations for global commercial business growth and improved cost competitiveness, the positive story continues.
 In the second quarter, our China operation saw revenue increases of 6% with improving gross margins and operating expense control driving operating margin to 8.3% a solid increase from the prior year. The largest part of Ultralife China's growth is coming from within China, from electric metering customers buying our thionyl chloride lithium batteries, which are known for their high energy and long operational life and manufacture their own facility in China.
 As I mentioned in our previous call, we are making small investments in our facility at Shenzhen to significantly improve manufacturing productivity for achieving larger volumes and tight manufacturing tolerances that we feel are necessary to take our product successful in the local China market to the global electric metering market.
 I just returned from a visit to China last week to view our progress, and I'm pleased to report that we are already producing parts and expect the project to be fully completed by the end of August. Accordingly, we are currently developing plans for expanding our reach beyond China for this product line into more fully leveraged upcoming similar projects for our existing high capacity Li-MnO2 product that's also manufactured by Ultralife China.
 Next steps after completing the final chloride in Li-MnO2 product manufacturing productivity projects, will be to further advance to a more meaningful revenue stream, our Thin Cell based products for emerging global growth opportunities in RFID, [indiscernible] and tracking devices and safety and security OEM products. Our China team continues to perform well. And we look forward to rapidly growing their contribution to our overall commercial revenue growth game plans.
 With regard to the financial outlook for 2012. We are still bullish on the pending business opportunity funnels particularly in Comm Systems [ph] in China and the market opportunities we are pursuing based on a new product pipeline across the company. However, the continued slowdown in BNE [ph] has made achieving revenue growth and profitability difficult and the uncertainty in the overall market and government defense spending has led us to approach the remainder of the year with caution.
 In Communications Systems which has been in the past and as expected to be in the future a lumpy sales revenue business. The maturing opportunity funnel and continued high activity level in both domestic and international funded projects, leads us to expect their total 2012 revenue to increase by a high-single to low-double digit rates over 2011. In Ultralife China, based on the projected upcoming order flow and recent track record, we expect to achieve a double digit 2012 annual revenue growth rate.
 With Battery & Energy Products down 36% year-to-date, and a lack of a meaningful revenue catalyst to suggest any change in trajectory in the very near term, we anticipate a total year decline of Battery & Energy Products revenue in a range of 35%. Given its size relative to the overall company, this decline when combined with the other business units, will lead to an overall company total year revenue decline of between 20% and 30%.
 With respect to operating profits, we expect to return to profitability for the last half of the year, though not at the magnitude capable of offsetting the operating losses in the first 2 quarters of the year. We estimate an operating margin for the second half of the year to be in the low to mid-single-digit range.
 Our mission for the remainder of 2012 is clear, that is to quickly drive return to total company profitability despite current marketing conditions. It is also imperative that we continue to drive productivity as much in our sales operations, as we do in our manufacturing operations.
 And lastly, that we leverage those sales and manufacturing productivity gains to shore up our core businesses, so that the new growth opportunities brought on by our exciting new products surely result in a net increase in the total company's top line growth curve. With smart, focused and hard work, we expect these goals to be achievable in the coming quarters.
 Operator, this concludes my prepared remarks and we'll be happy to open up the call for questions. 
Operator: [Operator Instructions] Walter Nasdeo with Ardour Capital. 
Walter Nasdeo: I need a little help here. You were looking for revenue to drop 20% to 30% year-over-year. The outlook, I mean we're looking for a number of these products these new products to start bringing in some sort of significant or at least a meaningful revenue early next year and listening -- Mike, listening to your kind of list of new products that are in the pipeline, I'm having a hard time kind of honing in on really what are going to hang your hat on and what's going to be kind of the standard bearer for the company. So when we talk about the company, we really like say the 56, 90, or whatever as we did in the past. What are we going to be talking about in 6 months as far as what your company is and what you want it to be going forward? 
Michael D. Popielec: Walter, it's a very good question. With a number of the new products as we've gone through the development cycle and we see the ton of customer feedback had a iterative design process and now we literally have demos all over the place, I mean from the small individual batteries to the large integrated systems like the GSC, the multi-kilowatt matt modules. Even as people have seen some of our large format batteries, they have come up with new ideas, but to the extent they're brand new products everybody's really excited about it but they really want to kick the tires pretty hard. So we are seeing small quantity orders like I mentioned and sometimes it's 1, it's 2, sometimes it's 8 and every one of those behind that they say because I have a need for maybe 100 or 200.  We are not certainly putting all of our eggs in the one basket but when you take a look at where we currently sell a large portion that obviously historically has been government defense either directly to the U.S. military or OEM prime contractors. In the case of that market, there has been a strong call for lighter weight, higher power, better capacity type batteries and we know that the existing military coppers are filled with a lot of the old technologies, and so it's going to take a little bit of a time for that inventory to be burned down, our new products to be tested but as we go onward, we really believe that the half-size and new configured batteries will become a very strong component of what we sell to the U.S. military directly.  Relative to the commercial space, historically our commercial space has been for all intents and purposes, a 9-Volt business in safety and security. Some medical device stuff that we do for the most part under the radar and then our telematics business and if you take it apart by its pieces, we just put in a brand new product line for our 9-Volt a better performing from a technical standpoint, I think a better constructed battery. We've done a major transformation of that product to China. That still represents a pretty big chunk of our overall revenue stream, it's up to – it's close to 20% of the total B&E product line. So I think you will continue to see in the commercial space in the safety and security and 9-Volt business.  The medical products, a lot of those medical products and things what we are looking at tend to be in the form of super cells. So it's sort of leveraging what we have an existing 53, 90 stock [ph] base type experience records and combined with some of the technologies and battery management systems that we're working with some of our mCAM products and so I think that you see going forward, derivatives of those types of products really supporting our medical devices business and then the third piece, historically in our commercial space has been telematics and even the fact that we hate that the reality of the fact that some of these contracts have gone away and the revenue streams have dropped down a result of that.  They weren't hugely profitable for us, so it's sort of a bitter sweet loss as some of these contracts go away.  What we are looking to replace that revenue stream with would be some of our energy storage, type product revenue streams from large format, or GSC as the case maybe, we believe there is a pretty long runway in terms of metering. We are showing pretty, good success in a very difficult China market. And with the things we talked about in terms of some of the tooling, we put in place in China we think that has likes on a global scale.  And we really haven't even begun to scratch the surface in terms of Thin Cell so, if I looked at how are we trying to approach it, we are not trying to be everything to everyone, but we are trying to do better in our core U.S. Government Defense Industry and expand some of that presence on a global scale. We are trying to shore up our safety and security lag and be stronger in our medical area and continue to grow that and then last but not least and probably in the newest area is really create an energy, storage and electric metering sort of leg where we take advantage some of the needs that we identify in the market there.  So it's hard to follow all this, I know and what we're most excited about the fact is that we have so many brand new products that we are actually going to talk to customers about, but we tend to think of our growth opportunities in those buckets, U.S. government, defense, global and domestically, safety and security and medical and energy storage and electric metering. 
Walter Nasdeo: All right. You mentioned increasing inventory turns. What's -- what are they at now and what is your goal going forward. 
Philip A. Fain: Walter, right now we are at about between 3.25 and 3.4. Our goal going forward is to get that in the 8 to 10 range for the types of businesses that we have and we have, of course, we have our dedicated leader in the lean process that has gotten a lot of -- the production related improvements, the lower hanging fruit well underway with the benefits reaped to this point. And the focus is now and clearly on the S&P system which will specifically drive inventory reduction and we've seen a lot of good activity in the last month converting raw materials to finished goods and that full court press will certainly go on. We are looking -- we are treating -- the goal is to treat inventory as we do our accounts receivables. 
Walter Nasdeo: Got you, now I see that you're really driving costs down and that's obviously commendable. What are you anticipating your cash burn to be for the rest of the year? 
Philip A. Fain: Our cash burn based on -- if I compare cash in versus cash out, our goal is not to burn cash. We are going to be in periods where there is going to be timing differences, where we are going to be drawn upon our revolver but not to any great magnitude and of course this is driven by revenues, the revenue forecast, but we manage our cash very, very with -- certainly with great diligence and I can assure the investment community that there has been no deterioration in either DSO or DPO. We are very much on top of that, but I would think that at this point that the cash burn would be minimal. 
Operator: Mike Cikos with Sidoti and Company. 
Michael Cikos: Just a question for you and first coming off the, I guess the speaker before me from Ardour Capital. Mike, when you were answering the question about the runway you are seeing in China, you had mentioned that it was a difficult Chinese market. Is that because of competition you're seeing or why, I guess if you could just provide some more color on that? 
Michael D. Popielec: Yes, I mean it's a -- lot of layers, supply chain, the difficult pay cycle, I mean sometimes we have very extended payment terms. There is a very strong culture of getting the lowest price, I mean, I would say just your normal competitive dynamics nothing real insightful other than, we know a lot of our competition has really long payment terms. And we know that sometimes people be opportunistic in terms of pricing. So we're trying to really sell that, when it comes down to reliability, and provability, and performance, those are important and try to maintain more global standards for some of those commercial attributes in our transactions. 
Michael Cikos: And also for operating cash flow in 2012, I guess with the sales you expect to see coming in, would we expect you guys to be seeing a cash outflow based on working capital? 
Michael D. Popielec: No, we expect to be cash positive this year. 
Michael Cikos: Okay. And also with the projects that you mentioned in your prepared remarks, I want to make sure that I have this right. So we are seeing the radio power supplies contract for up to $9 million over the next 5 years with roughly $1 million to ship in 2012, as well as a commercial order – I'm sorry for a communication system order for $3 million SATCOM award that will ship during 2012. Is that correct? 
Michael D. Popielec: Right, 2 different transactions.  Yes, that's correct. There's the IDIQ, which they have to release specific purchase orders against. And as we are being told right now there could be absolute amount of money, I mentioned in my prepared remarks that would needed to be shipped for this year, the whole life of the contract would be over 5 years as they usually are. And then separate to that Communications Systems has a firm contract award for a small SATCOM amount of business that will ship in 2012. 
Michael Cikos: Okay. And in your, I guess with the sales that we saw in the second quarter versus your outlook for the remainder of 2012. Does the remainder of 2012 include, I guess the orders that you saw pushed out from the second quarter? 
Michael D. Popielec: Yes, yes. I mean, what we've seen is that generally an overall slowdown and things sliding to the right. So as much as I'd like to think that everything happened in Q2 -- that we expect to happen in Q2, now is in Q3 plus everything we also thought was going to happen in Q3 will still happen in Q3. In my year and a half, I found that's not usually the case. So that's why the things tended to slide right, overall. 
Michael Cikos: Okay. And then my last question was more just of a housekeeping item. You would also say that your Chinese operations during this quarter, saw an operating margin of 8.3%, what was it a year ago? 
Michael D. Popielec: It was slightly under break-even. 
Operator: Bill Nasgovitz with Heartland Advisors. 
William Nasgovitz: Can you remind me what your guidance was for this year coming in, or I guess post your Q1 release? 
Michael D. Popielec: We said, based on the number of large projects we saw on the pipeline, I believe we had said that we're still approaching double digits and then operating margins between 7% and 7.5%. 
William Nasgovitz: So that was in early May? 
Michael D. Popielec: Whenever that call was, correct. 
William Nasgovitz: Yes. I guess I'm just -- I'm trying to understand, why not pre-announce and this is a dramatic ramp down in your guidance, is it not? 
Michael D. Popielec: That's, as we look into guidance, we try to deal with the most current information we have. And especially in the case of Comm Systems were there is some lumpy type projects, things can move pretty quickly one way or the other. And so we never try to certainly withhold any information that we have at hand. We also try to get the most current information we have. And we've done -- I think we've been as transparent as we can be, with trying to communicate in a timely fashion, the best information that we have at the time. 
William Nasgovitz: Okay.  Well let's stick with the Comm Systems, I think it was in the last quarterly call, if I'm reading my notes here, if it is correct, I think your quote was, "The opportunity funnel has grown dramatically for this business." It doesn't appear to be the case given where revenues are into the first half of the year. I mean, can you just elaborate, I mean you talked about a lot of products there, what's really, what's going to be the big driver for that business in the second half and in the '13? 
Michael D. Popielec: One of the things we've done with that sales force that's different in the past is that there was in the past lot of chasing of smaller type projects than an individual amplifier opportunities. And only the ability to focus on maybe one major prime at a time and we made the conscious effort over the last year or so to bring on a number of program level guys to help us position ourselves in more of those projects. So we weren't so dependent upon that single project, we're working on hitting or not hitting.  As a result of that we have a number of different OEM prime type engagements that we're involved in and certainly those represent large dollar value transactions for us and everything that we're being told is, our position is very strong, a lot of these projects are funded. But as you see from some of the mega OEM's they are seeing the same dynamic, lot of those products are slowing down and they are moving right for them. So our positions with those OEMs are strong, our competitiveness is strong, it's not just a single project we are talking about. But as the overall landscape of those mega-projects moves right for the reasons we are all well aware of that's had a negative impact on our ability to close them and ship them. 
William Nasgovitz: I'm trying to understand the sales force dynamics, if I'm not mistaken and perhaps I might be a little inaccurate, but I think your sales forces has doubled over the last year and you gave some color on some of the changes and the structure. And you mentioned 2 new hires, can you just elaborate on their pedigree and how long they have been with Ultralife here? 
Michael D. Popielec: The 2 new hires that I mentioned in my prepared remarks was the first one was a Vice President of Finance for Communications System and his background, and his large multinational experience very, very strong pedigree in the financial area, but he has also had a lot of multifunctional P&L type experience. And so in that hire, we were really aimed at trying to strengthen the overall operational backbone of a small company Comm Systems. While we think we had better capability to look around corners from a financial perspective, we also wanted someone that could help the team overall in terms of operations. So we could get some of the industry experts that we have on that team more focused on the front end and some of the revenue realization targets that we have in the marketplace. And I think we've accomplished that. He has been there now for a couple of months. He has got thick skin.  This is not a game for the meek and timid and I think having a person like that on board is extremely helpful.  The sales person that we brought into board for the overall company has direct [ph] report to me, we refer to that as Executive Vice President of Global sales. And we really were looking for someone that had strong sales operating chops. I mean, sort of like Chief Operating Officer of Sales, I mean we had a very good, but small company mindset of you have a couple of really, really strong rain makers, but not necessarily a lot of detailed methodical processes. And as we had higher aspirations for more rapid growth, we needed to move in to a more rigorous and methodical approach to sales. And we brought this person on board after a lengthy search. As we received the candidates, we normally have a slate of a small number of candidates. We had someone that really, really stuck out and we are delighted to have him on board.  He comes from a background of working with a large company environment meaning he has got access to the processes and the expectations of very successful companies. But he has also worked in -- for small companies within those large companies, which gives him the understanding and the experience of having to do a whole lot with not a lot of extra resources. So we think he is a very good fit for that and he has been very active. He has been on board for a little over a month now and I'm very excited about the impact he'll make. 
William Nasgovitz: I look forward to seeing the results going forward. Just on the updated guidance then, if I have -- recall correctly the second half operating margin is low to mid-single digits. We've had 2 successive quarters of operating losses if I'm not mistaken is it about a 4.4% operating measure in third quarter. Do you anticipate being above that here in the current quarter or can you provide any more detail on that? 
Philip A. Fain: We do not give our quarterly guidance for the second half of the year. Just as Mike said, we expect operating margin to be in the single low-to-mid single digits. And that's driven well by the improvements that we made in gross margins on the battery and energy side by reducing the manufacturing variances and taking the issues that we experienced in the first quarter and into the second quarter taking those out of the equations with solid solutions. And the Comm Systems side it's clearly mixed the projects the funded projects that did slip to the right were the higher margin 20 watt projects. And then it's a matter of getting the gross margins up through the work that's been done and complete focus on operating expenses. You'll see the 7.4 in Q2 and I did mention that $300,000 of that, approximately $300,000, of that was severance. So easy math to figure out going forward that we're talking in the $7.0 million range on a go forward basis for operating expenses. 
William Nasgovitz: Okay. Last one I guess, Mike, you and your team have done a nice job, I mean recognizing that energy -- the energy business wasn't a strategic pick [ph]. Can you just elaborate on what's the synergies between Battery & Energy Products and communication systems? 
Michael D. Popielec: From a product standpoint, it's actually very little. We intersect a lot of the military branches and particularly as we are pursuing global markets, it doesn't make sense for us to have necessarily 2 different sales teams calling on the same international customer. But from a product standpoint, there is a very limited amount of overlap, it's more in terms of the fact that we're calling on the same military service branches in many cases. 
Operator: Gary Siperstein, Eliot Rose Asset Management. 
Gary Siperstein: Just a few questions, first, on Phil's side, you mentioned Phil in the OpEx the $300,000 from severance. So we did $2.9 million operating loss for the quarter with that severance. I'm not sure if I heard accurately but the fix for the legacy product from a big customer that you did, did that expense come in the quarter or is it in the third quarter? 
Philip A. Fain: No, we took the reserve on that in Q2 Gary. 
Gary Siperstein: And how much was that? 
Philip A. Fain: Well, by the math we mentioned 800 basis points you can calculate that to be approximately $250,000. 
Gary Siperstein: Okay, all right. And was there anything else one-time in the quarter, so that gets the operating loss down to -- those 2 factors down to $2.3 million from $2.9 million. Was there anything else in the quarter one-time? 
Philip A. Fain: Nothing really to speak of, maybe $100,000 or something in that range. You like to call those one-time, but there is one-time recurring events. 
Gary Siperstein: Okay, all right.  So that gets you close to about $2 million loss on $18 million. So with the -- some of the manufacturing improvements, I guess I could do the math but where do you think the breakeven is now? 
Philip A. Fain: The breakeven's at $26 million. 
Gary Siperstein: $26 million, okay. 
Philip A. Fain: And that's based on – it's a forecasted estimated number, it's not -- there is always mix and there is always other factors that may be involved. And Gary, I do want to point out that the number 18 months ago was $40 million breakeven. 
Gary Siperstein: Okay, super. But we are still lagging behind the sales right but we're getting there. Also obviously, with the lower sales, I wouldn't expect a bigger -- any big drop in inventory, but can you give us some color on that inventory being sort of flattish year-over-year. And first of all, I guess is it clean and good stuff? 
Philip A. Fain: Yes, we -- from where I sit one of the items that I have to manage very, very closely is all aspects of the balance sheet. The balance sheet as it sits right now, whether it would be receivables, whether it would be inventory, whether it would be other assets, other liabilities is very, very clean. And it's not only my opinion on that, because certainly there is always subjectivity when you are looking at inventory, but on a quarterly basis, we have our external accountants go through the inventory in detail.  We feel that we have dealt with any significant issues in the past. So the balance sheet as far as I'm concerned is quite clean. The issue that we face Gary is when your expectations are that you're going to be closing, certain funded projects on such and such a date, and it slips you've already made the inventory buy, you've produced in large part that inventory. So the reason why the inventory is flat or in some respects in some categories up a bit, is simply because it's based on the timing of when the sale is actually going to close and when it's going to ship.  With S&OP and we're making great progress in that, the focus then becomes -- the key piece in S&OP is the raw materials. So the focus now is on converting the raw materials, drawing the raw materials down to a lower level. And then being very, very cautious in your buy of the raw materials by tying it directly to the demand process. 
Gary Siperstein: Okay, sure understood. And in light of things pushing to the right, lesson learned, right, fool me once shame on you, fool me twice shame on me. So with that start regardless of your forecast for an improving revenues in the back half of the year. We're going to see that moving down closer to the lower level, which would be applicable to the lower level of revenues even after the uptick you hope for in the back half? 
Philip A. Fain: Well, that certainly is my goal and my intention, because with $30-plus million of inventory. I look at where the biggest opportunity for drawn cash in the business comes from and that is more diligent and more prudent management of the inventory. 
Gary Siperstein: Okay, super. And what would be an expectation there Phil, I mean can you bring it down in the back half by about $5 million? 
Philip A. Fain: I would certainly hope so and I'm certainly striving for that, but then again it's based on what needs to be delivered in the first quarter or maybe in the second quarter. And dealing with lead times, there is a lot, I'm not making excuses, I'm just going through the realities of the different dynamics that are pulling and tugging the way, but it's clearly raw material management. 
Gary Siperstein: Okay. And then to any other, again I heard you earlier about the breakeven coming down substantively from $40 million a quarter to $26 million a quarter, so you probably got all the low hanging fruit. Is there anything else, I mean, how about your facility in Newark, don't you have 250,000 square feet, is some of that -- can some of that -- I know it's Newark but can some of that be subleased or is can anything be sold off there? 
Philip A. Fain: Well, it certainly can and we used to say that we look under every rock and we're certainly looking under every pebble. If there is an opportunity, I can assure you that we're on it. The cost of being in this facility is relatively low, it's just the cost of the utilities and the cost of the property taxes, but nevertheless it is an opportunity and there is a lot of moving going around, going on now in this facility, not only based on lean, but recognizing different types of opportunities. 
Gary Siperstein: Okay, so just again just for clarification, so there might be a way to reduce your footprint within the facility and possibly lease out some of the space? 
Philip A. Fain: There is that possibility. 
Gary Siperstein: And does that exist in China as well, don't you have over 100,000 square feet there or more? 
Michael D. Popielec: I don't think there is a huge opportunity for that, Gary. I mean, we actually looked at for various reasons even other facilities in China and one we realized the benefit we were going to get by improving what we had in our existing facility was going too far outweigh the turmoil of moving to a smaller facility or different facility and sort of starting from scratch. But I would expect -- we're trying to doubles in China. We're looking at – they're showing a nice double digit growth, but still single digit millions type of business. We're really trying to make that business double every 2 to 3 year business. And to that extent, we're not buying any more fix and mortar for that facility, but trying to be more efficient within the facility that we have. 
Gary Siperstein: Do we own that or lease that? 
Michael D. Popielec: That's leased. 
Gary Siperstein: That's leased, but we own in Newark? 
Michael D. Popielec: Yes. 
Gary Siperstein: Okay. And then, Mike to the -- few questioners ago, gentleman asked you about which product area we're going to get be oomph from. And you went over a lot of stuff again.  Subsequent to the lot of stuff you went over in your prepared remarks. So is it right to assume that we got a lot of seeds planted in a lot of different specific industries or product lines if you will and multiple products within each. And you actually don't know, right, at this point which one is going to be the, the one we're going to lay our hat on. We'll see as you do these demos, and see it all these different accounts. We'll see, which one germinates. Is that it, we just don't know for sure yet? 
Michael D. Popielec: I may not have done a very good job of answering that question. So let me try it in a different way. I mean, one of the things that I thought when I first got here was constraining our overall growth is that we weren't doing anything until we had a contractor respect [ph]. And then when we did decide to look at new products that we were going to go after, there was like 50 or 60 items on each businesses' list.  And so you don't get anywhere, right. And so we believe that we took in each of the businesses with a pretty well informed debate, a handful of new products in each business, maybe it's 3 or 4 in Comm Systems, maybe it's 5 or 6 in battery and energy products. And so we're betting on those 4, 5, 5 or 6 type products in each of those businesses, for our new product development growth. Within those the large format battery and B&E seems to have applications all over the place, if I do it as an individual component, do it as an MKM or I can do it some of the super cells of subcomponents of it or if the customer just wants me to do it all for them, I can provide it as a GSC. So I think that I look sort of the large format battery GSC area as an opportunity for a significant growth on the global scale.  The half-size batteries that we're doing for the military, I just think that's a logical progression of the life cycle of that product and the need by the military. The third leg of it are sort of new cells [ph] and we look at that in terms of electric metering or otherwise we can work closely with either a medical customer or a meeting customer design a brand new cell for their application that makes them more competitive and creates great stickiness for me. But when I look at those things, I look at the large format batteries, I look at the military as more replacement plus some upside and then opportunistically some of the individual cells that we're working on including thin cells. I don't know if that helps at all but… 
Gary Siperstein: Absolutely. 
Michael D. Popielec: We're not putting all our eggs in one basket, but we certainly aren't sitting back and waiting to be given an order before we start. Nor are we going after 50 things at once just so we don't get criticized for not doing a particular item, we're trying to really focus on things that make sense.  And then lastly, one are the reasons why I have engaged an outside firm is that, there's lot of blue sky out there, and we know we have a strong value proposition for pursuing different opportunities with different customers. But we're not naive to know that we don't have necessarily the world class marketing operation that some much larger companies have. So we're going out and buying that expertise, so that precious financial or human resource that we apply to new product development, when those products get over the finish line, that we're selling them in the right places to sell them not just throwing them up against the wall and hope they sell. 
Gary Siperstein: Okay, that's helpful. And Mike to the questions about the sales force, so I guess the hope 6, 12 months ago as we double or triple the sales force that it results in sales. So is it -- was it we had the wrong people, or was it we were all selling to the government that wasn't giving anyone orders. And I know you've tweaked it along the way, some people haven't worked out, you've let go, some people haven't sold anything, you've let go and you've brought in new people. So it's a process and I see you bringing on this VP of worldwide sales. Is it really a need to just do more focus on the commercial side, where at least even with things moving to the right, there could ultimately be a decision? 
Michael D. Popielec: I think those are all very valid points, Gary. If it was one thing in particular, it would already be fixed, right, it's -- I would never say, "Well, geez, you would think, it would have been lot worse and if we hadn't done what we did." We never say something like that. I think that as we rebuilt our sales force, we got a really good look at what we had and what we thought we had. We had said all along that as we brought on new sales people there, it would be somewhat of Darwinian approach. And I think that we've been true to form on that. Some of the people that are in sales force today are some of the brand new people we brought in. Some of the people that are well longer here today are people that were with us for a long time. So I think that we continue to get better, and we're not in an environment where if you look at the sales attribute you look for in our space, hopefully they have industry experience, hopefully they're really good closers so to speak. And then have strong technical capability. Trying to find all 3 of those things in the same person for battery or Comm Systems as the case would be is very difficult. In more robust times, you can get by with maybe only having 1 or 2 of those attributes, but in today's world I can't afford to have 3 people going to call on a customer. So we're really looking closely at the people we have, trying to make sure we have the right people, and then giving them better tools to go and do their job. So it's work in progress, I'm very, very excited about the new EVP of global sales, I mean we're all in sales. And it's just really nice to have a full time quarter back that's focused on the process as much as individual transactions. 
Gary Siperstein: Okay, and that's helpful. I just finally just my opinion -- I think Will at Heartland sort of asked this as well. And then actually maybe it's separate from guidance. But I think it would be helpful being a small company. You saved a lot for the conference call but as they're happening, I think I noticed the government registry 30 days ago or 45 days ago about the $9 million order. Maybe you didn't have all Is or Ts dotted or the color on the delivery schedule but I think more timely releases of information to the Street, so we sort of get a sense of what's going on intra quarter. And on the new hires, most public companies, make releases about new hires, talk about the last 3 places they worked, we even know where they went to school, whether they have advanced degrees. So I think all of that stuff would help instead of all lumping it all into the conference call. And then last again to the back half of the year, you talked about being profitable for the back half, should we expect a nominal loss for the third quarter and all the earnings to make the back half profitable in Q4 based on where you guys stand right now in August. 
Michael D. Popielec: Yes, as we don't provide quarterly guidance, I can't respond specifically but it's never our intent to play to a loss in any quarter. 
Operator: [Operator Instructions] Thank you, and Mr. Popielec, I'll turn the conference back to you. 
Michael D. Popielec: Okay. Thank you, all for joining us for our second quarter 2012 earnings call. Once again I look forward to meeting up with several of you in person over the next week or so and of course to sharing with you our quarterly progress on each quarter's conference call in the future. Thank you very much for participating. 
Operator: That concludes today's conference. You may now disconnect.